Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2008 RBC Bearings earnings conference call. (Operator Instructions) I will now turn the call over to Michael Cummings from Ashton Partners; please proceed.
Michael Cummings: Good morning and thank you for joining us today for RBC Bearings fiscal fourth quarter 2008 earnings conference call. On the call today will be Dr. J. Michael Hartnett, Chairman, President, and Chief Executive Officer; and Daniel A. Bergeron, Vice President and Chief Financial Officer. Before beginning today’s call let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings’ recent filings with the SEC for a more detailed discussion of the risks that could impact the company’s future operating results and financial conditions. These factors are also described in greater detail in the press release and on the company’s website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the company’s website. Now I would like to turn the call over to Dr. Hartnett.
Dr. Michael Hartnett: Thank you Michael. I’d like to welcome each of you and thank you for taking the time this morning to listen to our call. As always we appreciate your continued interest in RBC Bearings. Today we are going to follow the usual format. Daniel Bergeron and I will be sharing the duties. I’ll touch on the highlights of the year and Daniel will go into some of the details on accounting treatments for specific points. This morning we released our results for the fourth fiscal quarter of 2008. If you haven’t seen our release, let me review it in detail now. Our highlights for fiscal 2008 which proved to be another exceptional year for the company we posted record sales of $330.6 million, roughly 8% higher than fiscal 2007. And adjusted operating income grew 12% from last year. We were extremely pleased to once again deliver the results that exceeded our expectations. Importantly our results for the year highlight our continued success in delivering strong, consistent financial performance. In fact since our IPO in August of 2005, we have delivered compounded annual sales growth of over 18% and achieved double-digit adjusted operating income growth each year for our history as a publically traded company. We believe that our success validates the core growth initiatives we’ve been pursuing for many years. Our accomplishments during the year were more than just continued execution in our core markets. We made significant progress on long-term initiatives to accelerate our participation in larger size bearings market to meet secularly strong demand, particularly for wind, oil, construction and process industries. We believe these markets fueled in part by world emerging growth economies and in part by a change in energy sources through green initiatives, represent expanding opportunities for us in the years ahead. Consider the wind market alone, as discussed in our last call, in order to meet the government stated objectives of producing 100 gig watts of electrical power generated in North America from wind turbines by the year 2020, we estimate that a range of approximately $700 million to over $1 billion worth of bearings must be consumed per year in the United States in each of the next 12 years to get close to this objective. Even if this national objective were achieved, wind would still produce less than 10% of the electrical power consumption in the year 2020 but for the US, probably a story of too little, too late. The opportunity is even larger given the growing need for clean energy. Simply put, this market obviously represents one major and significant growth market for RBC Bearings. Consequently we have begun to expand our production capacity in our Houston plant and other places accordingly. To address these significant and growing market opportunities we made several strategic investments in fiscal 2008 highlighted by our acquisitions of Coastal Bearing Services in Houston and Phoenix Bearings in the United Kingdom. The integration of these small but important acquisitions provided us with additional products, technology and expertise in the large bearing segment. We are progressing well and all companies are contributing as expected. Large industrial bearings were not the only hot markets in 2008, aerospace and defense were equally demanding of our attention and production capabilities. To put this in perspective, the industry booked three times more large commercial aircraft then it sold in calendar 2007. We were busy in our design and marketing offices with proposals and designs for new systems. In fact the demand is so strong, that in some cases bearing industry lead times have now reached 110 weeks for some aircraft products. New systems under development and our redesigns of existing machinery where we have made measurable participation include the airbuses A350, A400 and A380, Boeing’s 787 and 737 ships and Boeing’s CH47 and AH46 helicopter ships, as well as Lockheed’s F35; to mention only a few of the major programs. A quick year-end analysis of our [air ridge] content for Boeing ship has moved from $75,000 per year per ship last year to over $90,000 per ship this year; a 20% increase. Finally at the end of our fourth quarter we acquired two companies that produce products for our aircraft customers. These are the Georgia-based A.I.D. and BEMD companies. We expect to integrate these businesses into our plans over the next 18 to 24 months. A word about or defense business, overall defense business performed well this year. On a year-to-year basis we were up approximately 10% and we expect similar performance in the year ahead as we introduce new products as a result of maturing projects for helicopters, guided weapons and satellites. Now let me provide you with a few financial highlights for fiscal 2008. As I mentioned earlier our fiscal 2008 sales were $330.6 million. This was an 8% increase from $306 million in fiscal 2007. Excluding Class 8 truck bearings, our sales growth for the year was approximately 12%. Strong sales growth was primarily driven by aerospace and defense products which represented 53% of total sales or $174 million, up 14.5% from last year. Industrial product sales excluding Class 8 truck bearings were up 8.8% to $140 million for the year. Gross profit for the year of $113.6 million represented a 13.5% increase compared to last year. In past quarters we expressed our confidence that we could achieve year-to-year consolidated gross margin improvement of 150 basis points and I’m happy to report that we delivered on that expectation. In fiscal 2008 gross margin as a percentage of sales was 34.4%, an improvement of 170 basis points over last year and 420 basis points over the past two years. We were able to achieve this margin expansion as a result of facility consolidations, which increased our overall efficiency combined with improvements made in our pricing, product mix and channel positioning. While we have been successful in expanding gross margins in each of the last three years as a public company, we expect margins to stabilize in fiscal 2009 particularly in the first half of the year as we work to integrate our recent acquisitions and expand capacity to meet the emerging growth market objectives for large bearings. As you know our acquisition strategy has always been focused on high quality franchises that have significant long-term margin expansion potential. But in the short-term some of these acquisitions can compress margins as in the case of our recent acquisitions until we reach the targeted margins for the business. Operating income of $62.9 million for fiscal 2008 increased 21.1% on a GAAP basis and 12.0% or $6.9 million on an adjusted basis versus fiscal 2007. Full-year GAAP net income was $40.2 million compared to $28.5 million last year. Adjusted net income increased 22.3% to $40.8 million or to $1.87 per share compared to $33.3 million or $1.56 per share for the same adjusted period last year. Dan will provide more color on a year comparison later in the call. During 2008 the continued strength of our primary markets including aerospace, defense, construction, industrial distribution, oil and wind was highlighted by an order book expansion of 23.3% to $217.7 million from $176.6 million at the end of fiscal 2007. It is this continued strength and demand that has led us to add staff to meet the welcomed increase in requests for proposals, designs and quotes for new projects that were challenging our infrastructure all during the year. We also saw funding for several government programs announced during the year which positively add to key OEMs where we have specific and identifiable content. Our debt minus cash for the year ended March 29, 2008 was $47.9 million which decreased 11.7% over the last 12 months. During this period the growth and investment, we have been able to maintain a leverage ratio on a trailing 12 month basis of about under 1x. Operating cash flow for the last 12 months totaled $27.1 million. We remain confident that our cash flows from operations will continue to support our strategic investments, with room left over to continue paying down our debt. Our capital expenditures for the year were $17.8 million which were part of our previously announced $25 million to $30 million initiative to expand internal capacity for large bearings including bearings for the wind industry. As I stated early in the call we successfully completed four acquisitions in fiscal 2008 which will add approximately $19 million to our total revenues in our fiscal 2009. As we have discussed in the past we will work to position ourselves in markets where a strong and continuing prospects for profitable expansion of our business exists and defensible franchises can be created. While we like where we are today in terms of product offerings, markets and our ability to execute, we remain proactive in seeking to increase our capacity and further enhance our efficiencies to meet demands of the many new programs that now integrate RBC Bearings components into their original designs. As I mentioned at the beginning of today’s call, we are very pleased with the results of fiscal 2008 and we believe progress we made in fiscal 2008 on our expansion into large diameter bearing markets and the healthy backlog generated throughout the year positions us well for continued performance in fiscal 2009. Once again we were able to maintain a high level of service and assurance to our customers during extremely busy times and I want to personally thank each member of the RBC team for their continued hard work and dedication to our customers. Now I’d like to ask Daniel Bergeron to review the financials.
Daniel Bergeron: Thanks Michael, our net sales for the fourth quarter of fiscal 2008 were $92.1 million. This is an increase of 13.7% from $81 million for the comparable period last year. Net sales for the fourth quarter of fiscal 2008 of $92.1 million slightly exceeded the company’s quarterly guidance range of $88 million to $92 million. Excluding the decline in the Class 8 truck market, net sales for the fourth quarter of fiscal 2008 increased 15.7% over the same period last year. Net sales for fiscal 2008 were $330.6 million, an increase of 8% from $306.1 million for fiscal 2007. Net sales for fiscal 2008 increased 12% excluding the impact of the decrease in the Class 8 heavy truck market. During fiscal 2008 the company had net sales growth in all four of its business segments driven by strong demand in its end markets, the supply of new products to existing and new customers and the inclusion of four acquisitions. Gross margin for the fourth quarter of fiscal 2008 was $32.3 million, an increase of 13.3% from $28.6 million for the comparable period in fiscal 2007. As a percentage of net sales gross margin was 35.1% for the fourth quarter fiscal 2008 compared to 35.2% for the same period last year. Gross margin for fiscal year 2008 was $113.6 million, an increase of 13.5% from $100.1 million for the comparable period last year. For fiscal 2008 gross margin percentage was 34.4% compared to 32.7% for the same period last year. As Michael has already mentioned this margin improvement exceeded our internal goal to increase fiscal year 2008 gross margin percentage by 1.5%. SG&A for the fourth quarter fiscal 2008 was $13.7 million compared to $11.3 million for the same period last year. As a percentage of sales SG&A was 14.8% for the fourth quarter of fiscal 2008 compared to 13.9% for the same period last year. The increase of $2.4 million was mainly due to increase of $1.9 million for personnel necessary to support increased volume and our expansion into large bearings, higher stock compensation expense of $0.2 million and $0.3 million due to the inclusion of four acquisitions; Phoenix Bearings, Coastal Bearings, A.I.D. and BEMD. In fiscal 2008 SG&A was $48.9 million, an increase of $6.6 million compared to $42.3 million for the same period last year. As a percentage of net sales SG&A was 14.8% for fiscal 2008 compared to 13.8% for the same period last year. The increase of $6.6 million was mainly due to an increase of $5.4 million for personnel necessary to support the increased volume and our expansion plans, higher stock compensation expense of $0.5 million and $0.7 million associated with the four acquisitions completed during fiscal 2008. Other net for the fourth quarter of fiscal 2008 was $0.7 million. This mainly included a loss of $0.3 million of disposable fixed assets and $0.4 million of amortization of intangibles. Other net for fiscal year 2008 was $1.8 million compared to $5.9 million for the same period in fiscal 2007. In fiscal 2008 other net included $1.3 million of amortization of intangibles, $0.5 million of moving expenses related to the relocation of our aerospace division in Connecticut, and a loss on disposable fixed assets of $0.4 million offset by other miscellaneous income of $0.4 million. Operating income was $18 million for the fourth quarter of fiscal 2008, an increase of 56.5% compared to operating income of $11.5 million for the same period in fiscal 2007. Operating income excluding plant moving and consolidation costs and disposable fixed assets was $18.4 million, an increase of 8.3% compared to the adjusted operating income for the same period last year of $17 million. Operating income excluding these items for the fourth quarter fiscal 2008 of $18.4 million was within the company’s quarterly guidance range of $18 million to $19 million. For fiscal year 2008 operating income was $62.9 million, an increase of 21.1% compared to operating income of $51.9 million for fiscal year 2007. Operating income excluding plant moving and consolidation costs and disposable fixed assets was $64 million, an increase of 12% compared to adjusted operating income of $57.1 million for the prior fiscal year. As a percentage of net sales, operating income excluding these items was 19.3% for the fiscal 2008 compared to 18.6% for the same adjusted period last year. Interest expense net for the fourth quarter fiscal 2008 was $0.7 million, a decrease of $0.4 million from $1.1 million for the same period last year and for the full fiscal year interest expense net was $3.4 million, a decrease of $2.4 million from $5.8 million for fiscal year 2007. The decrease in both the fourth quarter and fiscal 2008 is mainly due to debt reduction from free cash flow. For the fourth quarter fiscal 2008, the company reported net income of $12 million compared to net income of $6.7 million for the same period last year. Diluted earnings per share was $0.55 for the fourth quarter fiscal 2008 compared to $0.31 per share for the same period last year. Excluding the after-tax impact, the plant moving and consolidation costs, and disposable fixed assets net income increased 20.8% to $12.3 million in the fourth quarter fiscal 2008 from an adjusted net income of $10.2 million for the same period last year. Diluted earnings per share excluding the after-tax impact of these items was $0.57 for the fourth quarter fiscal 2008 compared to an adjusted $0.47 per share for the same period last year, an increase of 21.3%. For fiscal 2008 the company reported net income of $40.2 million compared to net income of $28.5 million for the same period last year. Diluted earnings per share were $1.84 for fiscal 2008 compared to $1.33 per share for the same period last year. Excluding the after-tax impact of the plant moving and consolidation costs, disposable fixed assets, loss on extinguishment of debt and the CDSOA payment, net income increased 22.3% to $40.8 million in fiscal 2008 from an adjusted net income of $33.3 million for the same period last year. Diluted earnings per share excluding the after-tax impact of these items was $1.87 for fiscal 2008 compared to an adjusted $1.56 per share for the same period last year, an increase of 19.9%. Net income for the quarter and year were favorably impacted by state and federal R&D tax credits and the manufacturing and deduction benefit during the year. Cash provided by operating activities for fiscal 2008 was $27.1 million compared to $55.7 million for the same period last year. Capital expenditures for fiscal 2008 were $17.7 million compared to $16.2 million for the same period last year. The increase in CapEx was mainly driven by the construction of our new aerospace manufacturing facility in Torrington, Connecticut and investment in new machinery for our large bearing expansion. We expect capital expenditures in fiscal 2009 to be in the range of $15 million to $20 million mainly driven by the expansion into large bearing capacity. During fiscal 2008 the company used approximately $2.2 million of cash to pay down debt, $13.9 million for acquisitions and $2.5 million for the repurchase of common stock. Total debt minus cash on hand for the period ended March 29, 2008 was $47.9 million, compared to $54.2 million for the same period last year. At the end of fiscal 2008 the company’s net debt to total capital was 17.6% compared to 24.4% for the same period last year. I’ll now turn it back to Michael to discuss the first quarter fiscal 2009 guidance.
Dr. Michael Hartnett: Thanks Daniel. In closing I want to take a moment and share our thoughts on our position heading into fiscal 2009. We remain optimistic about our core markets and we expect them to continue to support a strong business plan in fiscal 2009 and beyond. Clearly this is being demonstrated in our order book and bearing all these factors in mind combined with the understanding that our fourth quarter of fiscal 2008, and traditionally our fourth quarters are the strongest quarters, we are providing the following guidance for our first quarter of fiscal 2009. We expect sales to be in the $91 million to $93 million range and operating income to be between $17 million and $18 million. I’d like now to turn the call back over to the operator and ask for any questions. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Peter Lisnic – Robert W. Baird
Peter Lisnic – Robert W. Baird: My first question is on your gross margin commentary and the fact that it looks like for your guidance the best that we’re going to do from at least an operating margin perspective in the first quarter is flat. Can you maybe give us a sense as to what sort of spending that you’re incurring in the first half of the year that’s going to temper operating or gross margins for that first half of the year?
Daniel Bergeron: There are a few factors that will impact the margins in the first six to nine months of the year. One is our expansion into the large bearings so we have spending going into setting up these new machines and new factory capacity to start making these bearings. Second is we do have some acquisition accounting on these four acquisitions that we did that are coming through. And typically the margins on these acquisitions are lower and so it takes us a good 12 to 24 months to get the gross margins up to where we’d like to see them and so that’s pulling back the margin performance a little also.
Peter Lisnic – Robert W. Baird: And is there any way of quantifying either—any of those three?
Daniel Bergeron: On the acquisitions, that’s probably eroding our margins about 1% and that’s why we still feel we’ll be in that 33.5% to 34% range for the year.
Peter Lisnic – Robert W. Baird: If I look at the backlog number, do you have the backlog number excluding acquisitions?
Daniel Bergeron: No, not on me so we can get back to you with that information.
Peter Lisnic – Robert W. Baird: But even without that it looks like the order growth was really strong in the fourth quarter; can you maybe give us a sense as to where the real strength was from an end market perspective on the order growth front?
Dr. Michael Hartnett: We’re seeing great strength in the aircraft products area right now and I think 99%, 80% of the backlog growth is coming from aircraft products.
Operator: Your next question comes from the line of Andrew Obin – Merrill Lynch
Andrew Obin – Merrill Lynch: Looking at the higher SG&A, how long do you think it will persist as we sort of model calendar ’08, ’09. Are we permanently now at a high SG&A spend as we ramp up wind capacity or will it come down?
Dr. Michael Hartnett: I think in terms of absolute dollars it will probably stay where it is but in terms of a percentage of sales it will come down.
Andrew Obin – Merrill Lynch: Is it likely to come down over the next couple of quarters or do we need to wait longer for that?
Dr. Michael Hartnett: Four quarters.
Daniel Bergeron: Yes, I think we’ll start seeing an improvement in that in the fourth quarter when we start actually seeing some shipments in revenue generated by the large bearing business.
Andrew Obin – Merrill Lynch: But I’m correct to associate high SG&A spending was your growth investments?
Daniel Bergeron: Yes.
Andrew Obin – Merrill Lynch: In terms of working capital use, it seems that this year was not as good as last year in terms of free cash flow, is it the same story effectively?
Daniel Bergeron: Yes, and also I think we had a very—a big quarter in way of shipments in February and March so just—we invested high $6 million just in A&R in working capital and that definitely will come out pretty quickly in the first quarter of ’09 and some of its inventory build which will be working down through fiscal year 2009. And some of that is associated to what we’re doing on the large bearing expansion side.
Andrew Obin – Merrill Lynch: But I guess the question is do we now, because we are in a high growth mode, does it mean that we now require more working capital? Is it a one-time working capital use or will it be reversed next year?
Dr. Michael Hartnett: I think there are a couple of things going on there. I think first of all on the free cash flow number, there’s a change in accounting policy which distorts that number to—for a theory which I’ll probably never understand. And secondly I think the—when in areas where we have great order book expansion and that’s probably in aircraft products, I think we got a little bit ahead of ourselves in terms of bringing in materials to support the order book. So we just got a little ahead of ourselves in terms of MRP management and so we have very intense activities right now at correcting some of that. So we don’t expect to see that kind of working capital growth this year.
Andrew Obin – Merrill Lynch: And what was the accounting change?
Daniel Bergeron: With the tax benefit from stock options, it gets re-classed out of operating income. When you look at our cash flow and you see its down in finance and activity.
Andrew Obin – Merrill Lynch: So how much was that?
Daniel Bergeron: That was close to $10 million for the year.
Andrew Obin – Merrill Lynch: My aerospace analyst tells me that fleets are starting to retire, older models, like [MDAEs] just because of where energy prices are. I was just wondering if you are over exposed on any of the older models that could cause some revenue shortfalls next year.
Dr. Michael Hartnett: No, we don’t foresee any revenue shortfalls next year in the aircraft business whatsoever.
Operator: Your next question comes from the line of Edward Marshall – Sidotti & Company
Edward Marshall – Sidotti & Company: I was looking at the tax rate; you’ve got a benefit in the quarter it looks like. It’s a lower tax rate then we’ve seen on the trend line. Can you comment on that? Are there any benefits in the quarter that you may have seen?
Daniel Bergeron: It was the R&D—we have some state and federal R&D tax credit coming through and we—since now that we’ve blown through most of our NOLs last year, we are actually able to benefit from the manufacturing deduction this year so that helped our rate this year also. So I think from a modeling standpoint for ’09 we should be looking at a rate closer to 34%.
Edward Marshall – Sidotti & Company: To touch on the gross margins again, in the range of 33.5% to 34% for fiscal 2009, is there anything to do with cost of raw materials, is there any pushback on prices that you charge on the surcharges that go to the clients? Is there any pushback on those price increases that you may be sending to the clients? You’re predominantly using what, nickel and cobalt? Is that right?
Dr. Michael Hartnett: Yes, chrome and molly. Chrome and molly are big drivers. Nickel is in there too. Its sort of industry by industry, account by account issue and I think it’s by and large manageable, although we’re anticipating maybe a delay in some of the buildings in order to normalize the material change but basically we try to construct our contracts so that the pricing floats on a material adjustment.
Edward Marshall – Sidotti & Company: Now a question on the aerospace going back to Andrew’s question, you see companies like American Airlines and so forth taking some planes off line, these are older aircraft generally in for maintenance more often, as a bearing producer that supplies quite a bit to the aftermarket, do you anticipate somewhere down the line that you may feel an impact from aerospace market maybe slowing slightly since a lot of your bearings go to the aftermarket? And it may be too early to tell.
Dr. Michael Hartnett: We have no really great way of putting our finger on that. I think the best way is to look at our order book expansion and see what’s happening there. We have—there’s really good growth and that strong growth in order book expansion is continuing in this quarter. So we’re not seeing—if there’s some affect to that, its being masked by the OEM demand.
Edward Marshall – Sidotti & Company: Debt has been coming down substantially through the past two fiscal years and it ticked up here at the end of the year and I was just curious if you could comment. Is that just working capital needs?
Daniel Bergeron: No, our debt is down for the year.
Edward Marshall – Sidotti & Company: Down year-over-year but up sequentially.
Daniel Bergeron: For the quarter?
Edward Marshall – Sidotti & Company: Right, I think it was $50 million long-term and now its $57 million?
Daniel Bergeron: Right, that’s because we acquired A.I.D. and BEMD in the month of March.
Edward Marshall – Sidotti & Company: So we should assume that there’s no change, the debt will continue to be paid?
Daniel Bergeron: That’s correct.
Operator: Your next question comes from the line of Martin Pollack – NWQ Investment Management
Martin Pollack – NWQ Investment Management: Can you just elaborate about the wind business, give us a little sense of what the sales are total and will these acquisitions—where are you effectively for fiscal 2009 and also elaborate on the margins, how comparable they are to the other segments. The other question just about ball bearings, are you finding that particular part of the market is more difficult to get price pass-throughs and just a little bit more granularity of what those sales are.
Dr. Michael Hartnett: Let’s start with the wind business; I think the wind business for us right now is at most a couple million dollars a year. And I would be surprised that it’s that high. So there’s plenty of upside there. From everything that we’ve seen in terms of the bearings that go into the blade and what they call the [pitch the yaw slowing ring] bearings, or these—which are approximately 10 foot [bore] bearings, we think that the margins in that sector once the manufacturing operations are stabilized and mature, should be pretty close to our corporate average. That’s kind of the way we’re looking at it and the way we’re modeling the thing. I think the margins on the gearbox side of the business which are probably the other half of the volume in the wind business, are certainly close to where our corporate average is once that side matures. And that actually is a little bit easier side of the business for us to mature right now given we’re producing bearings that are in that size range today. So we see a demand cycle there that’s probably going to continue for years and the supply cycle which is always going to be short so unless I’m missing Economics 101, there should be some pretty fair margins in those products for the immediate future. The ball bearing business in terms of pass-throughs, we—mainly our ball bearing business is very non-commodity and so we don’t—we really don’t make any ball bearings that are electric motor or automotive or anything for markets like that and so we typically haven’t had much difficulty on a consolidated basis pricing through what we needed for margin.
Operator: Your next question comes from the line of Walter Liptak – Barrington Research
Walter Liptak – Barrington Research: Dan, could you quantify the amount of the R&D tax credit?
Daniel Bergeron: I’d say it was probably—
Walter Liptak – Barrington Research: Maybe while we’re looking for that I can ask you about the defense business, you talked in your commentary about government programs and I wonder if you were alluding to defense and if you could provide a little bit more color on that?
Dr. Michael Hartnett: Our defense business for the trailing year or the—looking out?
Walter Liptak – Barrington Research: Yes, looking forward. Are there programs that are rolling on, are there programs that are rolling off?
Dr. Michael Hartnett: Well there’s not too much rolling off that immediately jumps to mind but the programs going forward are certainly the guided weaponry where we have some pretty good positions in those systems. Certainly helicopters are—there’s lots of major helicopter programs now that are being funded that Boeing produces and [Bell] produces where we have some pretty substantial contents and some expanding contents depending upon where the ship is in it’s lifecycle. And so we’re feeling pretty good about—in the joint strike fighter, the F35 we continue to expand our content there and as that program matures and comes online in the early 2011, 2012, 2013 period we’re going to be well positioned. So we’re feeling pretty good about where we are relative to the defense positioning.
Walter Liptak – Barrington Research: Are any of these programs large enough that they’ll be—there’s a meaningful incremental revenue contribution in ’09 on the defense?
Dr. Michael Hartnett: I think we’ll see close to the same kind of growth that we saw in this year in ’09. But I think the substantial, more substantial growth comes in 2010 and 2011. We really had some really good products coming through for 2010 and 2011.
Walter Liptak – Barrington Research: I wonder if you could comment a little bit about the general industrial, the growth seems like it’s holding up ex truck, we’ve been talking a lot about recession and manufacturing slowdown, what kind of color can you provide about general industrial?
Dr. Michael Hartnett: In total our industrial distribution business was for the entire year including the Class 8 truck business was up like 24%. Some of the acquisitions sort of classified into that group. So net of the acquisitions we were even up over 10%. So we’re seeing good continued strength coming from our core industrial distributors and certainly that’s the sector that I watch the closest in terms of industrial production rates and GDP expansion and that sort of thing because that usually is where it’s first felt. Now even when the—in previous times where we had some contraction in industrial production rates, we never saw negative growth. We saw maybe flat year-to-year sales performance but we never really over the last 18 years that I’ve been doing this, we’ve never seen a contraction in that sector because we really work that sector pretty hard from a sales and marketing perspective. Our industrial OEM business for the past year has been about flat net of the affects of Class 8 trucks and I think to some extent that’s a result of some of that capacity going into defense and some of that capacity going into industrial distribution products. So there, there was more a decision on just exactly where best to place your capacity. So I think the industrial OEM side of our business once we turn on the larger bearing sector will do very nicely.
Walter Liptak – Barrington Research: And your Europe business, I think you do quite a bit of work with some of those [cullets] as well as couplers for the rail industry?
Dr. Michael Hartnett: Well Europe, the [cullet] business is as strong as it gets. Everything we make they buy and we just can’t make it fast enough and it’s been that way ever since we bought the company with minor quarterly exceptions to that statement. So that’s been a very good performing business for us. The industrial side of the European business is at this point stable, we’re not expecting a lot of growth in the industrial side in Europe next year, industrial OEM side but we expecting sort of flat year-to-year comparisons there.
Walter Liptak – Barrington Research: What was your wind power CapEx in fiscal 2008 and what do you expect that CapEx to be in 2009?
Dr. Michael Hartnett: I don’t think we spent very much in fiscal 2008 because of the lead times associated in buying, in specing and buying this equipment which are—those lead times to buy some of this equipment are out as much as 24 months. So we probably at the most spent a couple of million dollars on the wind business. If we include large bearing business in that definition, we were certainly in the $4 million range for the total large bearing business group. This year we will receive, we are beginning to receive machinery for these larger bearings now and we’ll receive that machinery all the way through December. So this year we’ll probably see at least $6 million to $8 million of investment going into that sector.
Walter Liptak – Barrington Research: Dan, did you get that tax credit number?
Daniel Bergeron: Yes it’s about $600,000.
Operator: Your next question comes from the line of Steve Barger - Keybanc Capital Markets
Steve Barger - Keybanc Capital Markets: In the past I think you’ve talked about $25 million to $30 million in total CapEx for the wind business, is there upside to that number then as you look further out and have you put yourself in queue for more large diameter bearing fabrication machines given the lead times?
Dr. Michael Hartnett: Yes and yes. Yes there’s going to be upside to that number. We don’t have it firm yet but to think that that’s probably going to be a CapEx number that totals somewhere around $40 million or $50 million is not—over a few years is not going to be outside the box. We are currently discussing our next positioning for that machinery as a matter of fact. We have most of the operating guys here in Oxford today and that’s this afternoon’s agenda.
Steve Barger - Keybanc Capital Markets: So theoretically what kind of dollar capacity would a $45 million to $50 million investment support in terms of large diameter bearings?
Dr. Michael Hartnett: You know, I think that’s kind of a two-to-one best case ratio.
Steve Barger - Keybanc Capital Markets: So that implies that by your FY10 or FY11, probably more like FY11 you could be doing $90 million in large diameter wind bearings relative to that $700 million to a billion market you talked about?
Dr. Michael Hartnett: Yes, why don’t you cut that in half and make it easier for us to achieve it.
Steve Barger - Keybanc Capital Markets: Cut the $90 million in half? Okay so you’re saying it would be a one-to-one based on the dollars you’re spending or you’re saying that relative to 2012, or 2011?
Dr. Michael Hartnett: Yes, relative to 2012. There are just a whole lot of things that have to be done and a whole lot of things have to be done right.
Steve Barger - Keybanc Capital Markets: But still, there’s significant upside to what you—certainly where you are right now or where you’ll be in 2009 or 2010?
Dr. Michael Hartnett: Yes, that’s how we see it.
Steve Barger - Keybanc Capital Markets: And if your wind sales right now are a couple of million at best, and you can get into the gearbox right now, where can wind sales be in a dollar basis for FY09 inclusive of large diameter and gearbox?
Dr. Michael Hartnett: You know, 2009 is not going to feel that much—maybe we’ll double. If it’s two now, maybe we’ll go to four. It’s not going to—this is not going to be the year where that’s going to be felt.
Steve Barger - Keybanc Capital Markets: Is there a hindrance to getting more gearbox sales right now in 2009 since you’re already in that bearing size?
Dr. Michael Hartnett: Yes, there’s a whole issue of pedigree. So in order—if you have a bearing design and you have a customer that you want to sell it to and who wants to buy it from you, and has the demand, there’s also an approval process that you have to go through not only with the customer but with some of the agencies in Europe that regulate the design of these bearings for wind applications and so you have to get your ticket stamped and so we’re working on that now. We have people going back and forth to Belgium now working with the government agencies to approve our designs. It’s more a timing issue then it is anything else.
Steve Barger - Keybanc Capital Markets: Going back to a previous question, you had mentioned that pricing floats on material adjustments, does that mean that you get recovery in the same or the following quarter when you see raw material price increases?
Dr. Michael Hartnett: We have lots and lots of accounts and lots and lots of contracts and each one is negotiated independently and actually the administration of all these contracts becomes really challenging. What we like to do, what I like to do, is to have a retroactive—an adjustment based upon a retroactive change in material costs. So if your material costs change X% over 90 days, and your contract is based upon one number and you have actually experienced a different number, a higher number over the trailing 90 days, then there’s a surcharge adjustment that takes place in order to true it up. That’s our preferred way of doing this and that way we’re not the material brokers for that 90 days. In some cases customers will accept that, in some cases they don’t accept that but they give in other parts of the contract and we accept the other parts of the contract that they give on and so we reach some accommodation. But that’s the preferred method.
Steve Barger - Keybanc Capital Markets: And given that that’s a fairly, it seems like a fairly high visibility process relative to the material cost increase, does that limit your ability to get pricing on top of that?
Dr. Michael Hartnett: Again its market dependent, and it’s—if you’re in markets where there’s a shortage and there’s a projected shortage of bearings for many years to come it usually doesn’t inhibit pricing.
Steve Barger - Keybanc Capital Markets: You said the average content per ship I think at [Boeing] is up to $90,000 versus $75,000, how much of that is price versus material pass-through or is it all price?
Dr. Michael Hartnett: No we’ve increased our mix; we’ve increased a number of sizes that go on each ship last year. We expect that number to grow again this year. So it isn’t all price, no. It’s probably—the pricing yields sort of the corporate average consolidated margins maybe a little bit better and its mix.
Steve Barger - Keybanc Capital Markets: Mix as in expanded content?
Dr. Michael Hartnett: Right.
Steve Barger - Keybanc Capital Markets: And can you break that out on wide body versus narrow?
Dr. Michael Hartnett: No, we can’t. We’ve tried and it just—Boeing tells us it’s impossible and we’re about concurring with their conclusion that it’s pretty hard to do.
Operator: Your next question comes from the line of Vincent Damasco – Colony Group
Vincent Damasco – Colony Group: Just a follow-up on the wind discussion, if I recall you were discussing or having discussions with GE and I’m not sure whom else, but have any of those agreements or those discussions kind of moved to an agreement stage or are there signed contracts in hand for you to move forward with the capital investments at hand and then can you just give is the inventory balance at the end of the quarter.
Dr. Michael Hartnett: Well I don’t know if we’ve every actually discussed GE as a customer because I’d be surprised if we did because GE is not our customer and we don’t expect them to be a customer for these particular products. They are a good customer for other products that we make. With regard to where we are with contracts with other producers of wind turbines there’s been quite a lot of activity in the contract development stage that’s taken months to negotiate and we think we’re concluding those negotiations in the very near future. There are lots of contractual issues to supply these bearings to various OEMs that we find disagreeable and so as we exclude those disagreeable concepts from the contract language it takes more time to ink the piece of paper. So I think we’re coming down to the last and final sessions of the contract language and I think we’ve, with several customers have pretty much agreed to the language that’s in place. So I think we’re pretty close.
Vincent Damasco – Colony Group: Close being that you expect in this current quarter you’ll something signed or are you referring to Q2, Q3 type of timeframe?
Dr. Michael Hartnett: I think Q2, Q3 at the outside.
Daniel Bergeron: And on the inventory balance at the end of March was $123.8 million.
Operator: Your next question comes from the line of Seaver Wang – Utendahl Capital Partners
Seaver Wang – Utendahl Capital Partners: Just wanted to touch on the Class 8 and its been a drag for awhile, I’m wondering if you’re seeing any bottoming of that from your customers and maybe even possible tailwind in the near future with maybe emissions coming up—new emission standards coming up, your views on that.
Dr. Michael Hartnett: We think—it’s an interesting situation. I think it seems to be a market that’s been abandoned by most of the manufacturers that supply it right now and I think when the volumes come back, I think the manufacturing capacity is going to be elsewhere. We see those volumes coming back gradually over the next 12 months. We’ve rededicated a good part of the capacity to other products and so its really not our intention to capacitize the upside of that business and we’re going to make a specific mix of product for a short list of customers and we’re going to have a fixed amount of capacity to supply that, support that, at pricing that we feel is consistent with the investment requirements and that’s where we’re going to be.
Seaver Wang – Utendahl Capital Partners: So basically the volatility of that business is just not unappealing to you?
Dr. Michael Hartnett: That’s absolutely right.
Seaver Wang – Utendahl Capital Partners: What is the CapEx for 2009, do you have an estimate for that?
Daniel Bergeron: For 2009 we’re expecting a range of $15 million to $20 million.
Operator: Your final question is a follow-up from the line of Edward Marshall – Sidotti & Company
Edward Marshall – Sidotti & Company: Generally you don’t answer this question, so before I ask it I’m going to give you the out, once the acquisition expenses subside, margins on the lower acquisitions is improved as you go forward, what does fiscal 2010 look like and maybe I’m not looking for a specific number, but if you can provide that, that’ll be great, but if you can give me a direction as far as your gross margins are concerned, do you have any indication as to where that would be trending?
Dr. Michael Hartnett: I suspect it will be—unless assuming that we don’t do another acquisition that distorts the page here, I expect that that will go back towards the 34% to 35%, maybe 35% to 36% range.
Edward Marshall – Sidotti & Company: Am I right to assume that the 35% to 36% is kind of the peak of your margins or do you see yourself eventually getting above 36%?
Dr. Michael Hartnett: Well there’s—I always think that there’s not really any peak on margin, it’s your own mental constraint that peaks out your margin as far as I’m concerned. I think realistically there’s only so much that can be done over a certain timeframe in order to get back to those margin levels. There’s always more that you can do. There’s always other ideas in terms of how to go to market and approach the market, what additional efficiencies you can bring to your manufacturing operations and how better to price your product to your customers. So I think we shouldn’t be running out of ideas on how to expand our margins when we get to 35%.
Edward Marshall – Sidotti & Company: You mentioned the $600,000 benefit of the R&D tax credit, but even factoring out that $600,000 its still the lowest tax rate that we’ve seen in the last 11 quarters or so, was there any other benefits not net operating losses or anything in there that would have been an added benefit to your tax rate?
Daniel Bergeron: We actually got the benefit from the manufacturing deduction which helped our margin and then our differential rate from Europe is lower and they contributed nicely in the year and so that also impacted the rate for the quarter and the year. So that’s why I think we’re looking at next year we should be in that 34% range and maybe that’s a little on the conservative side but that’s where we’re projecting it to be.
Operator:
Dr. Michael Hartnett: I would like to thank everybody today for their interest in RBC Bearings and we have a whole new year in front of us to execute so we’ll go about executing our year and look forward to speaking to you again at the next call. Thank you very much.